Operator: Greetings, and welcome to the Kandi Technologies Full Year 2024 Financial Results Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the conference over to your host, Ms. Kewa Luo, Investor Relations Manager. Thank you, you may begin.
Kewa Luo: Thank you, operator. Hello, everyone. Thank you all for joining us on today's conference call to discuss Kandi's results for the full year 2024. Earlier today, we issued a press release covering the results. You can find the press release on the company's website as well as from Newswire services. Please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the expectations expressed today. Further information regarding these and other risks and uncertainties is included in the company's public filings with the SEC. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Additionally, unless otherwise stated, all figures mentioned during the conference call are in US dollars. Before we continue, I would like to introduce the team joining me on today's call. Joining us are Mr. Feng Chen, CEO, and Ms. Alan Lim, CFO. Mr. Chen will deliver his prepared remarks in Chinese, which I will translate afterwards. With that, let me now turn the call over to our CEO, Mr. Feng Chen. Go ahead, Mr. Chen.
Feng Chen: [Foreign Language] Good day and thank you for joining us. Over the past year, we not only strengthened our leadership in the electric off-road sector, but also enhanced our manufacturing capabilities and expanded our market reach, laying a solid foundation for the strategic progress we achieved in 2024. I am proud of the resilience and innovation demonstrated across the organization from our broad strategic guidance to our team's daily execution and I appreciate the continued engagement of our investors. [Foreign Language] In 2024, we delivered modest yet meaningful revenue growth, driven by steady demand for our electric off-road vehicles and the ongoing optimization of our geographic footprint. While our revenue grew steadily, we continued to invest in the future, strengthening our overall product portfolio, advancing next-generation battery technology, and reinforcing our balance sheet. This disciplined approach enabled us to preserve profitability and maintain a robust cash position as we navigated evolving market dynamics. [Foreign Language] Our core electric off-road segment remains the engine of Kandi's business. Last year, we introduced several new models tailored to North American preferences including the innovator e10K utility vehicle, a new lineup of electric golf carts built for everyone from entry-level riders to seasoned off-road enthusiasts, as well as our limited-edition NFL golf carts. Meanwhile, Kandi made a strong presence at multiple golf cart expos and industry summits, earning widespread praise from dealers and attendees. [Foreign Language] Behind the scene, we are enhancing our operational resilience through targeted upgrades to our Taiwan manufacturing footprint. These improvements have increased our flexibility and responsiveness, enabling us to better align production with shifting customer demand while maintaining high standards of quality and efficiency. [Foreign Language] To ensure we deliver on our ambitious plans, we recently implemented a management incentive program that aligns leadership rewards directly with key performance metrics. This initiative is already motivating our senior team to push harder on sales growth, operational excellence, and new product development, ultimately driving improved results across the company. [Foreign Language] Looking ahead, our priorities are clear. We will bring forward innovative battery and vehicle solutions, expand our dealer network, deepen strategic partnerships, and execute our US localization roadmap, highlighted by our recent partnership with CBAK Energy to localize lithium cell and pack production in the United States. By allowing production closer to end market and leveraging clean energy incentives, we are positioning Kandi for sustainable long-term growth. [Foreign Language] In closing, I'm confident that the steps we have taken in 2024 have strengthened Kandi’s platform and prepared us to seize new opportunities. I want to thank our employees, partners, and shareholders for their trust and collaboration.
End of Q&A: Thank you, Mr. Chen. And thank you everyone for joining today's conference call. As noted earlier, there will be no live Q&A session for today's call. If you have any questions following today's presentation, please email us at ir@kandigroup.com or gary@blueshirtgroup.co. We will respond to all inquiries within the next five business days. Please note that our responses will be limited to the information that has been publicly disclosed and will comply with the applicable SEC regulations. This concludes our conference call. Thank you and have a good day.
Operator: Thank you, ladies and gentlemen. This concludes the conference call today. You may disconnect your lines. Thank you for your participation.